Operator: Welcome to Wintrust Financial Corporation’s 2012 Fourth Quarter Earnings Conference Call. Following the review of the results by Edward Wehmer, Chief Executive Officer and President; and David Dykstra, Senior Executive Vice President and Chief Operating Officer, there will be a formal question-and-answer session. The Company’s forward-looking assumptions are detailed in the fourth quarter’s earnings press release and in the Company’s most recent Form 10-Q and Form 10-K on file with the SEC.
 I would now like to turn the conference call over to Mr. Edward Wehmer. 
Edward Wehmer: Thanks very much. Welcome everybody and thank you very much for dialing in. With me as always are Dave Dykstra, our Chief Operating Officer; Dave Stoehr, our Chief Financial Officer; and Lisa Pattis, our General Counsel. Lisa has now resorted to putting a shock collar on me so I don’t say anything out of line, so it will probably be a pretty boring conference call.
 Keeping up with our usual protocol, I’m going to make a number of general comments about the quarter and the year. David Dykstra will follow with more detailed review of other income and other expense line items. I’ll be back for some summary comments and then we’ll have plenty of time for questions.
 The fourth quarter was pretty much a solid quarter in all aspects of, really not a lot of noise for Wintrust. The only noise was a loss on the extinguishment of some long-term repo debt that was offset by securities gains from sales of securities related to that repo, $2.6 million with the pre-tax gains and $2.2 million with the losses. Other than that, the quarter was pretty clean.
 The quarter was highlighted by net income of $30.1 million, or $0.61 a share, annualized loan growth of 12% and deposit growth of 17%. Demand deposits for checking accounts now comprise 17% of our deposit base. It wasn’t too long ago and for most of our history, we were stuck at 9% of that base, may not be bottom line valuable now, but it will be when rates eventually rise. It also evidences the success of our commercial initiative, which we started about 2.5 years ago.
 The margins did decline 10 basis points, but the net interest income actually improved 6 basis points of the drop related to a buildup of additional liquidity during the quarter. Some of that liquidity, approximately $170 million is designated for the Second Federal disposition previously reported to you, which probably will occur, we expect to occur in February.
 Our loan pipelines remain consistently strong more than $1.2 billion in the pipeline, but a little over $800 million weighted over the next 3 months and that's consistent with the pipelines that we have experienced for the past few quarters.
 We’re all struggling with the flu here. So the loan pipelines remain consistently strong and it’s our goal to employ these excess funds in the more profitable earning assets in the upcoming periods.
 It indicates continued growth, however, in the franchise value of the company and unfortunately matching liquidity and loan production doesn’t always come hand in glove; it’s kind of like climbing a ladder. One quarter we need the liquidity, one quarter we need loans, one quarter we need liquidity; the mismatch is exasperated in this low rate environment. So -- but all-in-all we continue to build franchise values indicated by that excess liquidity although we hope to get put to work.
 Mortgage business remained strong in the quarter with $34.7 million in gross fees versus $31 million in the third quarter. Remaining other income items, all showed moderate growth other than the fact that we didn’t have any bargain purchase gains during the fourth quarter this year.
 Expense control for the quarter was also very good. I will comment on when we get to the summary section, how important the expense control is to our plans going forward in 2013 and beyond. But if you take out the $2 million increase in OREO expenses and the $2 million loss in the extinguishment of the repo, operating expenses were flat quarter 3 versus quarter 4, and that’s even including with the addition of the Hyde Park Bank during the quarter and an increase in variable comp expenses related to mortgage and wealth management fee increases. Dave will give you more detail on these categories a bit later.
 Our credit quality improved in the fourth quarter. Total NPA is decreasing $500 million -- I wish, we will be negative then, $5 million to $180 million. Non-accrual loans decreased $5 million, while 90-day accruing loans increased $5 million.
 All of that latter increase, those loans past due 90 days attributed to our commercial premium finance book and can be attributed to super storm Sandy. This is the usual result when a natural disaster hits the U.S., Katrina being the most recent. The end result is just a time delay in collecting those loans and historically has not resulted in any additional material or any additional losses and we expect this to be the case here.
 Net charge-offs were up approximately $7 million this quarter, overhead expenses were up $1.4 million. The provision for loan losses was only up $700,000 reflecting the fact that specific reserves as opposed to general reserves, our loans decreased $7.3 million due to the fact that we have charged-off loans or we were able to resolve the issue, so the overall specific reserves declined during that quarter.
 The table on Page 28 of the press release breaks down the reserve for loan losses by loan category. Those can be seen our core loan portfolio results in a reserve of about 1.31%, while our niche portfolios carry reserve only about 29 basis points. The reserve factors used in these calculations you can go and compare them to our historical charge-offs. And I think, once you triangulate on that, we will come to the conclusion that we have, obviously, that we are well reserved going forward.
 As it relates to credit going forward, we actually do see light at the end of the tunnel and it appears to be getting pretty bright. We’ll see those it is what it is and we’re certainly not out of the woods just as indicated by the number of banks that we have been just recently and the stress is still in the systems out there. But we think that going forward we should be able to improve credit costs during 2013, but we will continue to identify and resolve assets, problem assets on an expedited basis as we always have.
 Now I’m going to turn over to Dave for his review. 
David Dykstra: Now thanks, Ed. I’ll briefly touch on the other non-interest income and non-interest expense sections. Ed covered them in global sense, I’ll get into the details a little bit more.
 Starting with the non-interest income sections, wealth management revenue improved slightly to $13.6 million in the fourth quarter compared to the prior quarter of $13.3 million and increased slightly from a year-ago level of approximately $11.7 million. The increase in the wealth management revenues from the prior year quarter came primarily from the trust and asset management business, which increased $1.5 million. The new business development efforts as well as the acquisition of the Trust Department from a local community bank at the end of the first quarter were the primary reasons for the increase over the prior year quarter.
 Our mortgage banking revenues improved again to $34.7 million in the fourth quarter of 2012 from the $31.1 million recorded in third quarter of this year and was nearly twice as much as the $18 million recorded in the fourth quarter of last year.
 The company originated and sold $1.2 billion of mortgage loans in the fourth quarter compared to $1.1 billion of mortgage loans originated in the prior quarter and $883 million in the year-ago quarter. The mortgage banking revenues improved as a result of the favorable rate environment, relatively strong volume related to purchased home activity again and continued good pricing metrics in the market.
 The current quarter was also benefited slightly from a higher valuation in the fair market value of our mortgage servicing rights, and the value of that portfolio increased to 67 basis points from 63 basis points in the prior quarter and was approximately $474,000 higher than the value at September 30, 2012.
 Obviously, future mortgage origination volumes and servicing rights will be impacted and are sensitive to changes in interest rate. Based on what we know right now and looking our pipelines and the continuation of this existing low rate environment, we do anticipate the first quarter of 2013 to continue to be relatively strong.
 The company did not complete any FDIC bank acquisitions in the fourth quarter of 2012 or 2011 and accordingly had no associated bargain purchase gains during those periods. However, we did have a $6.6 million bargain purchase gain in the prior period of 2012 related to the acquisition on the First United Bank in Crete, so you need to know that from a comparability standpoint.
 We do believe there will be more FDIC deals in the Chicago and in the Milwaukee market areas throughout 2013. Although we certainly don’t know when that will be offered, we’ll continue to evaluate them and be disciplined on our approach, but we still are interested in that business.
 Fees from covered call options totaled $2.2 million in the fourth quarter, compared to $2.1 million in the prior quarter and $5.4 million in the year ago quarter. As we’ve said before, the company is consistently utilized fees from covered call option to supplement the total return on our treasury and agency securities in an effort to mitigate some margin pressures caused by the low rate environment. Fees on these transactions can be impacted by market rate, the market volatility conditions, and that’s the reason for the fluctuation in the amount of fees that we received on a quarter-by-quarter basis.
 As Ed mentioned, gains on sale of available of securities from trading losses netted to $2.4 million gain during the fourth quarter. This compares to a $589,000 net loss in the third quarter of 2012 and a $525,000 net gain in the fourth quarter of last year.
 The securities gain recorded in the fourth quarter were our decision to sell securities in conjunction with recording a $2.1 million cost for breakage fees related to the termination of approximately $68 million of longer-term high rate repurchase agreements, nearly deleveraging the balance sheet a bit and attempting to improve the margin going forward.
 The trading losses that you’ll see, the relatively small trading losses that you see in our financial statements are result of the fair value adjustments related to interest rate contract that we do not designate as hedges, and those are primarily interest rate cap positions that will be used to manage our interest rate risk associated with rising rates, various fixed rate longer-term earning assets.
 Miscellaneous non-interest income continues to be positively impacted by interest rate hedging transactions related to customer base interest rate swaps. We’ve recognized $2.2 million in revenue in the fourth quarter compared to $2.4 million in the third quarter of this year and $1.6 million in the year ago quarter.
 Additionally, other non-interest income included about $373,000 in positive valuation adjustments on our limited partnership investments that we own as a holding company compared to $718,000 positive adjustment in the prior quarter. As we said before these are primarily investments related to bank stocks.
 And additionally, the company had benefit from an $826,000 foreign currency remeasurement gain related to our Canadian subsidiary. That’s really offsetting coincidentally about an $825,000 remeasurement loss in the prior quarter.
 If we turn to the non-interest expense categories, the non-interest expense totaled $129.5 million in the fourth quarter of 2012. This was an increase of $5 million compared to the third quarter and $10.8 million, or 9% compared to the year ago quarter.
 If we focus on the $5 million increase in the current quarter, it can be explained broadly by 3 primary reasons. First, approximately $2.1 million related to the breakage fee on the termination of the repurchase agreements. Second, $1.5 million increase related to OREO expense, primarily related to higher valuation adjustments as a result of new appraisals. And the third reason is approximately $1.6 million related to the acquisitions of First United Bank, which we did at the end of the third quarter and Hyde Park Bank, which we did in middle of December. The 3 of those really in the aggregate makeup the $5 million increase in the current quarter, so really x those items as Ed mentioned, expenses were relatively flat.
 If we dig down into the individual categories a little bit, salaries and employees benefits increased $860,000 in the fourth quarter compared to the prior quarter and that increase can be attributed primarily to about $1.1 million of additional employee cost associated with the First United Bank acquisition and a partial month related to the Hyde Park acquisition.
 The quarter also saw slightly increased commissions related to the higher levels of mortgage banking and wealth management revenues and offsetting that was approximately $500,000 loss in bonus and long-term incentive program accruals based on the actual results achieved during the year and the progress towards obtaining the company’s established long-term goals and objectives.
 As I mentioned, the fourth quarter also saw $1.5 million increase in OREO expenses. That brings the expenses for this quarter to $5.3 million. As we have said before, this is really can fluctuate based upon appraisals that we get on properties on an ongoing basis. However, I should note even though this amount is up, it’s a personal what our average was for the year. If we take 2012 and total our average quarterly expenses $5.5 million, we’re at $5.3 million, still higher than we would like, but not really outside of the range of what we had experienced during the course of the year.
 Page 40 of our earnings release provides additional detail on the activity and in the composition of the OREO portfolio, which declined 7% to $62.9 million at December 31 from $67.4 million at the end of the prior quarter. If you exclude the impact of the previous $2.1 million of breakage fees that we referred to, all the other remaining categories of non-interest income increased slightly by about $600,000. And although there are varying levels of fluctuations in these categories the increases can generally be associated with the 2 acquisitions that I previously referred to.
 As Ed is going to talk about the operating leverage we have in the system, it is a focus of ours going forward. And so with that, I won’t spend any more time talking about that, and I’ll let Ed do it in his follow-up comments. 
Edward Wehmer: Thank you, Dave. 2012 was a record year for Wintrust, and it’s the third record year out of 4 years. Net income increased 43%, assets grew 10.3%. Loans grew almost 11%, deposits grew 17%, tangible book value per share grew 11.5%, credit quality improved, the number of branches increased 12% to 111 outlets in our market area.
 We acquired 3 FDIC-assisted banks. We did one assisted bank deal. We did one branch acquisition. We bought the Trust Department and we bought the Canadian premium finance company. Needless to say, we’re very pleased with these results. We’re really out of the results of continuation of strategy, which we adopted in 2006.
 In our release, we included a number of graphs that indicates the quarterly how Wintrust has done through the 5-year credit cycle. In short, compound annual growth rates of $13.3% in total assets, almost 12% in total loans, 14% in total deposits, 9% intangible book value per share, 15% net income and almost 22% in pre-tax pre-provision income.
 I can’t tell you that, but not many other banks can probably exhibits statistics like this over the last 5 years. We exemplify our commitment to creating long-term shareholder value, no matter what the environment is, that is our goal and that’s the goal we wanted to continue to work off of as we go forward. So what does it mean for 2013? Well, it’s no news to you folks that the prolonged 0-rate environment is going to have margins under pressure.
 The secret to 2013 for Wintrust will be good growth at somewhat lower margins without commensurate growth in operating expenses. This is our goal for 2013. There is a great deal of operating leverage still in our platform when we plan to take advantage of this in 2013. You can put loans on it, but that’s just for macro, but you can put your earning assets on a 3 or 3.25 spread and keep your marginal expenses growth down to 1% after-tax, we are bringing that down between 1.6% and 1.8% as a percent of assets, obviously accretive to us. That’s our goal, that’s our plan. So the margin may decrease, we expect net interest income will grow.
 Loan pipelines and loan momentum remained very good and strong. This bodes well for 2013 unless market rate and its terms move out of our comfort zone. As you know, we have our loan policies and our profitability models act as a circuit breaker when -- then the market moves away from us and we do not deviate from this. Now we’ve seen some of this taken place in the market, but not enough to temper our outlook at this point in time. There is a lot of business down here and we are going to take advantage of it and continue to grow our organization.
 We expect credit to get better in 2013, although they’re actually no assurances for this, but what we see we like and this will have material bottom line effects. We believe if it in fact comes true, but we will continue to identify and push out non-performing or potential non-performing assets on an expedited basis, we will not kick the can down the road. We are going to get ahead of the game and we can stay ahead of the game, and the sooner that happens the sooner we’ll be out of that and the numbers will fall to the bottom line.
 We are also going to continue to prepare the balance sheet for eventual rise in interest rates. As many of you’ve heard me talk and there hasn’t been time when public debt approaches a 100% of GDP when it’s not followed by double-digit inflation. Therefore the same period is the great spend. We believe that all the credit is going -- they’re going to have to raise the rates at some point in time. We see there is a housing shortage, it’s actually developing in the market, that’s going to push unemployment down and push -- and we believe that’s going to push rates up and we continue to plan for that. That is a beach ball underwater effect that we like to talk about. When the rates go up, it should be very good for our margin going forward and we’re preparing the balance sheet for that.
 Pardon me, we expect the mortgage business to slowdown in the latter half of the year. We believe that when this occurs, the mortgage market will basically consolidate. When this occurs, this consolidation occurs, we stand ready to continue to build our platform by bringing on both new producers and acquiring other platforms. So if this industry consolidates, we think we can build market share and continue to keep good mortgage revenues going forward.
 As Dave mentioned 33% I think in the fourth quarter of our business was purchase business and it’s usually a slow purchase month for fourth quarter, but we’ve been working very hard to get the diversity in our production base and we do that through how we price things basically. But we’re trying to push things through to get more and more alliances with the real estate market, so that we can rely more on home purchases, because we think that market is going to take off.
 So in a mortgage business again, we think the margin -- the conventional, the refi is going to drop off, but we think when that happens, the market will consolidate, we stand ready to take advantage of that.
 We expect in 2013 and beyond continued good growth in our wealth management business as we continue to cross-sell into our ever-growing banking population. We’re going to continue to look for niche and specialty asset platforms, revive earning assets and continue to diversify our portfolio.
 We think that there will be FDIC deals this year, but they will be probably be few and far between. They are going to come with less volume than we have seen in the past. Those that do occur will probably be subject to this very competitive bidding. Many of our competitors are in much better shape than they were and we believe that the market will pickup, the competition for those deals will pickup. So we will play the game, but we will be prudent.
 Having done more or as many FDIC deals as anybody else in the country, we learned from our experience that there is explosions in compost piles out there and you got to be very careful in terms of how you price these things and what you find when you get there. There is a reason these banks fail, and we’re going to be very disciplined and use our experience to go after them. But that being said that could lead us to not being as successful as we have in the past, but that doesn’t mean we won’t play the game.
 Honestly the deal opportunities are going to be plentiful. We’ve reported to you before that we were getting about one inbound call or rebound call from somebody who had inbounded before about every 10 days. But we have since the election, we are averaging about one a week. We still, we go out, we do our reviews and there is still stress in the market and we still keep in touch with folks.
 But we firmly believe that banks in these metropolitan areas between $0 billion and $1 billion really are coming out of this cycle very tired. Their ability to generate earning assets, the regulatory burden. It's just not fun for them anymore and they can’t generate the returns that they’re used to generating. People are basically tired.
 And we think that we are -- and most of these banks are community bank oriented sorts of folks. Our cultures lineup directly, we believe we will be the acquirer of choice for these. And we will continue to be very active, but yet very discerning in this as we continue to build out the geography that will still remains, 2 hours from those non-Illinois. So we believe we will have a very active year in this regard.
 So with that all being said, we look forward to 2013. We can sit on our laurels in 2012 for about 5 minutes until the rock will roll back down the hill. And like Sisyphus, it was now -- it’s a bigger rock and we have to push it back up to hill this year. But we think we’re well positioned to do that, look forward to the opportunities they are going to present themselves in 2013.
 So with that, I think we can turn it over to questions. 
Operator: [Operator Instructions] Our first question comes from the line of Steve Scinicariello with UBS. 
Stephen Scinicariello: Just a couple of quick ones for you. So as you look at the dislocated asset pipeline for 2013, the best gauge that you have, how much do you think is going to be tilted towards kind of these organic growth and how much tilted towards bolting on more of these platforms or business lines? 
Edward Wehmer: That’s a good question. I think that was asked yesterday by a good friend Jon Arfstrom. I think you can look at the historical, our historical numbers as it relates to them. We are back to the -- our pre-2006 kind of growth metrics. But we expect every bank, every bank charter to grow $70 million, $75 million a year, which brings us to about a $1 billion worth of organic growth in the system right now, maybe a little more and maybe a little bit less all tempered by our ability to generate earnings assets.  I would expect that everything on top of that would come through opportunities on the acquisition side either FDIC or unassisted. Again, they’re lined up like planes over O'Hare again. And so we think that organic growth will be anywhere between $900 million and $1.2 billion, and that everything else would be through acquisition. So on the niche side of things, we continue to look at earning asset platforms to diversify the balance sheet.  We found a couple of nice loans that related to the retail orient, just to say how the regulations affect us, we shied away from them. We figured that in any retail oriented niche program, well, you can make any money, it’s only a matter of time before the CFTB comes down and tells you, you can’t do it, and we are not -- we don’t want to take that risk. So we are looking more on the commercial side of things and we will continue to do that throughout the course of the year, because it’s really all going to boil down to the generation of earning assets.  As indicated by this quarter, you can build a lot of liquidity and not make any money on it in this rate environment. So you have to be able to be asset driven and generate earning assets, and we will be very active in trying to diversify that platform, but continuing to grow throughout our franchise. We got great -- as I mentioned we got great momentum on the core loan side of the business. Our commercial guys are really hit the cover off the ball and have succeeded beyond my wildest dreams when we embarked on this 2.5 years ago.  The Wintrust name for not being known in Chicago 3 years ago by design is now -- as my kids say, "Welcome to the 90s Mr Banks," in everybody's Rolodex, so at the top of everybody's Rolodex. I guess I should say on their contacts right now, but we have a great reputation in the market.  We’ve got great momentum in the market, we’ve great people, we’ve got a great plan to execute. And so earning asset is still -- being asset driven is critical to everything that we do here, and we will continue to do that in a diversified fashion. I hope I answered your question. 
Stephen Scinicariello: Wow, definitely, it’s a great color. And then the only other one I had for you is, just given the massive amount of build into liquidity management assets like you said, just kind of climbing the ladder, but with these things approaching 16%, 17% of total assets, what’s kind of the right level. And assuming it’s a little bit below that, as you look ahead, I mean into this kind of repricing environment, do you kind of see kind of that core, kind of 10ish or less basis points or just repricing headwind that you then have to grow through as we look kind of going forward -- just kind of trying to gauge, kind of what you are up against in terms of like margin headwind?
 :p id="224081" name="Edward Wehmer" type="E" /> Well, margin headwinds are going to be there. And it’s so exacerbated by the rate environment that we are in. I feel like we’re playing the football game constantly in the red zone, we don’t have a lot of field to play with here. But as I mentioned what I ran through that quick example, it’s going to be hard for the margin to go up without giving some niche assets through some FDIC related assets. But net interest income, we think we’ll flourish this year and without the commensurate increase in expenses.  So we believe that we can actually -- we actually can help our metrics materially, but the margin will be down doing it. So you can focus on the margin or you can focus on absolute dollars and employing the leverage that we have both into the system. Everyone of our operating subsidiary heads has an objective this year to keep their expense flow on a same store approach and notwithstanding acquisitions and the like, less than 1%, 1% or less. That’s the goal this year. Everybody has got it, that’s built into their budget, so we can do that.  Yes, we might have -- the margin is like everybody else is going to be under pressure, but the net interest income itself will drive and improve our metrics, so that and improved credit quality, should bode well for us this year. We are also working very hard.  Dave mentioned, we’ve been putting on series on a interest rate caps like laddering them in going forward to continue to prepare the balance sheet for higher rates. I can’t fight nature here, it is what it is, the market is what it is. But we can prepare, we can make more money this year, we expect it, but we can’t prepare ourselves when rates go up and get the beach ball underwater effect. So can’t fight City Hall, but we can certainly work around it and make more money. 
Operator: Our next question comes from the line of Jon Arfstrom with RBC Capital Markets. 
Jon Arfstrom: Hey, the number of wehmer-isms on this call at an all-time high. So I’m going to throw one back at you on expenses. I believe you’ve used the term wring the chamois in the past on expenses, is it time to do that or is just kind of trying to trim back the rate of growth and you may get more aggressive later, I just want to understand where you are in your thought process on expenses? 
Edward Wehmer: We have to get more out of what we have, Jon, that’s the issue. We will be divesting our Second Federal in February, that will alleviate some expenses. We do have a number of the deals that we did last year that will be coming up for conversion in the subsequent quarters which allows us to cut expenses once that’s done. We’re not the type of guys that do massive risk. I mean, but we try when we do those things to make sure that through attrition we are able to place those people who would be displaced by when we do these conversions, we can take advantage of that. So we think there is lots of places that can cut expenses and we can be very careful. We think that our expense base can support a lot more growth than we have.  So we just got to be very careful. Last year, we did a number of programs to maintain, to control and to reduce expenses. I think our expense ratios are pretty damn good right now at each of the operating companies, but there is a lot of leverage to build then. So I don’t know if I answered your question. Dave, you want to comment on that? 
David Stoehr: I think what Ed said is correct. We do have 2 conversions with First United, coming up in May and Hyde Park coming up in February, once we are through that, but that will help us integrate those a little bit better and reduce some cost.  There is also leverage if you look in the premium finance side of the equation -- and for a little over a year and now the market every month is harden from a premium perspective, where rates are higher than they were in the prior year month.  And if we can take our average ticket size and increase it 10% or 20% and we come off the all-time lows since the market started to harden. But our average ticket size is around $22,000 is, bottomed out around $20,000. But and the last hard market was up around $40,000. So we can just go up 10% or 20% and get those numbers up to $27,000 or $28,000, which is sort of the long-term average for us.  We can do all of that with no additional overhead and can put on $300,000, $400,000, $500,000 -- million dollars of additional of loans. And so there is a lot of leverage built in the premium finance side, but we have to wait for that market just hardens a little bit. And then on our bank side as Ed says, we're there.  Our efficiency ratio as we’ve talked before, tend to be a little bit higher in periods of large mortgage originations, because that business is a much higher efficiency ratio of business than the banking business in general. And also in our wealth management operation, we have a fairly large wealth brokerage operation relative to other companies our size, and that tends to operate at a higher efficiency ratio also. But we will continue to grow into this infrastructure and there is plenty growth opportunities as Ed said. Our plate has never been fuller with people wanting to talk to us right now. 
David Dykstra: Two things right down there, we invest money before we go into something. In our SBA program, we’ve got 16 people in our SBA department right now, but we just put into place, 13 months ago, 14 months ago. They’ve moved up to be I think one or 2 in the state in terms of their production in SBA, will make an higher push there. But that’s the type of leverage these investments that we’ve made. Investments that we’ve made in downtown office where we’ve got 50 plus commercial officers and all the support people, they are operating at about 50% capacity right now as they build this portfolio.  So there is a lot of -- that’s what I mean about capacity. We’ve made investments on the earning asset side and growing the business, where we have a lot of capacity, but we can grow without commensurate increases in expense and we’ll have some expense cuts coming from the -- let me convert and do those other things that we can use also. So it is driven home to every CEO, pretty much every time they talk about which is, you can understand how pleasant they find that, so… 
Jon Arfstrom: All right. That’s the pudding in the plumbing quote I believe building for future growth, I understand. Just a statement, that’s kind of the holy grill and that’s the one thing that I know that you know frustrates investors is the expense base so I'm happy to hear that, because people want to see those returns come up.  Then I guess that brings the second question is just on the credit cost, couple of quarters ago, you talked about a light at the end of the tunnel and you said you hope it’s not a train, it doesn’t seem like that’s the case. Are you seeing anything out there on credit that upsets you or do you think that this is finally the time where the credit costs are going to start to come down? 
Edward Wehmer: Well we would hope for the latter, Jon, and that’s what we think is going to happen. We’ve been very aggressive and we’ve not kicked the can down the road in anyway shape or form. You haven’t -- not that there’s anything wrong with this, but you haven’t seen us have to resort to a loan sale where we have to sell a bunch of loans at 50% of cost. We haven’t had to do that.  We’ve dealt with our issues, we’ve identified them quickly, we’ve kicked them out. We haven’t played any games, not saying anybody else is, all I’m saying is that we take them one at a time, we identify and we push them out. At this point in time, I mean our non-performers are 1% and you could see if you could take a barometer, you would say, boy, you released a lot of reserves, which means a lot of that stuff was pushed out.  So we are very hopeful that we think that there is $40 million pre-tax built in when we return to our normalized levels of charge-offs and credit cost. So the sooner we get there, the better, I think you have seen good progress was year over year over year and hopefully this would be a very, very good year in that regard.  We don’t see anything -- but I think you never know. You never know what’s going to pop-up. And I don’t like to say it, because then people try to manage to it. And I don’t want people to manage to it, I want to create. But you’ve got a problem, bring it up, let’s get it out of here. We put a number out there, I'll find people trying to work around it, manage to it, and then we are going to have, we might have problems down the road, that’s a management style that has people kicking the can down the road, and that’s not what we do. We feel pretty good about where it’s going. We think we are in pretty good shape in that regard, but that’s an upside for us and we feel good about that upside. That’s what all I can say. 
Operator: Our next question comes from the line of Chris McGratty with KBW. 
Christopher McGratty: Dave or Ed, maybe I’ll approach the expense question a little differently. You had $489 million of kind of reported expenses this year. Given all your commentary, should we be thinking down expenses in 2013? I know the mortgage is variable, or should we think of the rate of growth being kind of low single-digit in this year? 
David Stoehr: Well, my crystal ball on mortgage rates is not clear. Clearly, we think it’s going to be strong in the first quarter and probably into the second quarter as the home buying season heats up. Beyond that, my crystal ball is not clear. I think we would think that it would ease off towards end of the year, and it that happen, certainly commissions and the variable pay go down there.  And so, barring any other acquisitions, then I think you would think that you could, you keep the expense growth certainly into the single-digits, because you would lose some of that expenses, and as Ed said, we’re trying to maintain on same-store sales, 1% growth rate. And we do have a couple -- we have acquisitions in 2012 that occurred that will have a full year of 2013 and so you have to build those in. But yes, I would think that if you look at it that way, you could keep it certainly in the single-digits. 
Christopher McGratty: Okay, maybe on the growth perspective, in terms of the quarter, I would say, generally speaking, the commercial loan growth in the Midwest has been, I think, a surprise to most of us on the positive. Ed, can you comment on where the growth is coming from? Obviously, the economy is not growing, but can you maybe talk about sources of growth, whether it would be larger banks or peers? 
Edward Wehmer: The majority is coming from larger banks. I would say. In the middle, especially in the commercial middle market area, they dominate that and we’ve been able to pick up a lot from you name it probably. And I would say in proportion to their market share in Chicago is where they’re coming from. Smaller banks really don’t have a lot, you can take right now, so the commercial side that’s where it’s coming from.  In Chicago, our market area is what, one of the biggest economies in the world when you think about it. And there is a ton of business out there and we think we’re just scraping the tip of the iceberg right now. And we’ve had, we brought in over a 1,100 new middle market commercial relationships in the 2.5 years that we’ve been at this. And over the next 3 or 4 years, that number could triple for us.  And it’s just one at a time, our approach is different. We don’t just scatter things to the wind. Our guys downtown will every year, and they update it every quarter, will take a census of the middle market companies in our market area, and we’ll decide which ones we’re going to go after and then we are absolutely relentless until we get them.  And so if you look at those numbers we think going forward, we will have good, continue to have good success in that regard. The rest of the business itself --with premium finance, we continue to grow on the property and casualty side, I think the number of units again was up almost double-digit, which it has been for the past 3 years. We’re finally seeing some increase in, as Dave said, in the average ticket sizes, which we think will continue to increase through some of the disasters have occurred and put some pressure on the insurance market, but the workman’s comp area. I think workman’s comp they’re having loss ratios in 115% and 120% and for workman’s comp company to actually make money, they got to be about 92%.  So you’re going to see this pressure on that and we think that bodes very well for us also. Believe it or not, the dirty word in the real estate and maybe little constructions coming back. If you, many of you heard me give that economic stock there’s a chart that we show that shows lagging birth rate versus housing starts. And you’re getting -- and our housing starts are kicking up, because the lagging -- the area under the curve between lagging birth rates and housing starts is absolutely huge. And you’re seeing it in the Chicago area and probably in most of the metro areas where you guys are from where rents are going up, because there’s not enough homes to buy and you started to see some pickup in that home building again.  We’re trying to find a way to get it safely, and not too much get into that business, but link it with our mortgage business also in one shot sort of thing, construction and loan, and we’re working on that also. So where we get the business when we’re taking it proportionally from our competitors, it’s just taking market share. But I think this year, you’re going to start seeing some growth. And although our line utilization is not higher than it was in the fourth quarter, it wasn’t higher than it was before. I think you’re going to start seeing that happen based upon with some of our -- a lot of clients are saying, the business is actually picking up. 
Christopher McGratty: Great. Last one, on the mortgage, obviously QM came out late in the year. Can you talk about what any impact that may have on your business with the IO issue? 
Edward Wehmer: You broke up there a little bit, the qualified mortgage issue? 
Christopher McGratty: Yes, and the interest-only, the amount of interest-only loans that either originated, or that are on your books and whether it could impact kind of your business in the mortgage going forward? 
David Dykstra: We don’t do much in the way of interest-only at all. I mean you may do a few of those in the banks for a well-known customer that has unique business model, where he doesn’t fit into the nice square box that’s out there, but it’s not a big part of our business at all. 
Operator: Our next question comes from the line of Stephen Geyen with Stifel Nicolaus. 
Stephen Geyen: Just curious about the, Ed, you mentioned the pricing in that you’ll step out of the markets, are those markets that where pricing is I guess outside of your range or outside the comfort zone? And maybe if you could talk a little bit about where if you’re seeing of that and where it’s a little more prevalent versus others and where the pricing is still more favorable? 
Edward Wehmer: In our market area, you’re talking about or just in general by class? 
Stephen Geyen: By class. 
Edward Wehmer: Yes. Probably there is pricing, it’s most competitive for the larger middle market companies that have a lot of cash balance, wealth management, and treasury management services, those guys are golden and people really compete for those deals.
 If you’re out doing smaller commercial real estate deals or smaller business loans, those deals are still holding up fairly well. But the $10 million, $15 million, $20 million middle market, commercial loan where people are very, very competitive on those loans right now. 
Stephen Geyen: Can you give us a sense of pricing, what the pricing looks like now, or the spread now versus where they were maybe 12 months ago? 
Edward Wehmer: It depends on the deal. 12 months ago, I don’t think they moved. I mean there is some deals if they get hot; the spreads are going down to 1.75, maybe 1.5 or lower on really hot deals. But there are some institutions in town that are trying to buy some business and will do that.  But we’ve been able to keep our spreads pretty good. Relatively speaking, and again our profitability model is pretty simple and it falls outside the profitability model, we won’t do the deal, there’s got to be the future business. Well, we’ll get all this future business. We got to look at that pretty hard. But I would say that they really have not moved that much in the last 12 months. That would might be my guess.  Just 12 months like this. 
Stephen Geyen: Sure. Next question, you gave some nice information on the pipeline and just thoughts on the outlook over the next 3 to 6 months or so, on loan growth. In the press release, you talked about a lot of the growth coming near the end of the quarter, and maybe if you could provide just a little bit more color on that, do you think it’s related to the election or some other factors and kind of any thoughts on how it's progressed heading into the first quarter? 
Edward Wehmer: Well, there’s still some pent-up demand from the first quarter that rolled over, although I think lot it did depend on the election. The last 2 weeks of the year, we were very busy in closing loans. And some of that did spill over into the first part of the year. As to why, a lot of it was the -- I think it was the election. I think some it was the fiscal cliff, it’s the $10 million gift thing was an issue for some folks. I mean a lot of people and lot of attorneys were busy on that, lot of people were very busy on that.  So things just kind of get pushed off towards till the end of the quarter for whatever reason. Usually, the last 2 weeks of the quarter kind of slowdown a bit, but it was frantic around here getting deals pushed through and get deals done, but it did carryover. And first quarter, I am glad to have the carryover, because in the first quarter we should have some good momentum build up, but then it slows down just a little bit, February is a throwaway month, as people are waiting to get calendar year-end guys with their audits are done or their financials come in, and you wait for that to do approvals and get things done.  So -- and then it picks back up March, April and May and picks up very hard. But I think you can anticipate the same sort of growth that we’ve had on those line items this quarter or this in 2013 as we had in 2012. So the pipelines really have not deviated much quarter-to-quarter and our pull through rates are still basically dropped a little bit, but not enough to be concerning. 
Stephen Geyen: Okay. And last question, really just a question about the margin, just curious where the pressure might come from, if it’s going to be both on the loan side and security side? I guess the liquidity management assets were down about, the yield was down about 8 basis points quarter to quarter. And I guess you have a portion or I look at it is a portion that are very short-term in order to fund near-term loan growth and then a piece maybe longer term, companies, and then just kind of curious about that longer-term piece. As those reprice, is there still likely some pressure on that piece that’s a little bit longer-term? 
Edward Wehmer: I think that the decrease in the liquidity management assets is mostly a mix issue. We just had a lot more that was short. We didn’t put more into a longer-term bucket. So I think it was a mix issue that drove that number down a little bit. That’s where you see the overall liquidity effect on the margin.  We’re not excited about putting things out long-term. Our long-term thought is that rates are going to go up and I don’t want to be in a position to have all sorts of offsets against my capital because I went long with $500 million, $600 million. It could help me today, when the long-term is going to turnaround and whack my capital pretty hard and I don’t want to be there, all right.  I think we played this for the longer-term. I think the fixation on the margin just kind of makes me laugh. I fixate on making money and we always have. And so I’m fixated on net interest income, and if the margin does go down a bit, but I make a lot more net interest income and position myself forward to eventual rise in rates, I think we at Wintrust are doing the right thing by our shareholders.  So I wouldn’t expect to see us to make a major investment going long right now. It’s just not going to happen and if we do build up more liquidity, we will have to cut our rates and we will try to manage our cost to funds to keep that liquidity down. But it’s a juggling game.  I remember the first 2 quarters of last year, we were climbing the other side of the ladder, trying to find liquidity, so is this kind of manage everyday and going forward. But I don’t see us going long and if we end up as we are growing and we don’t have the assets we put them into, we’re going to have to temper our growth because if we just throw it in liquidity, you’re going to see liquidity asset go down even more, the rate on those and it will hurt your margin even more. So we got to keep climbing the ladder and we got to take it a rung at a time. 
David Dykstra: I think I would add to that, Stephen, as you asked about the pressure on. As you know, as we’ve talked about in our remarks, we do this covered call program where we add to the yield on the securities. And 3 months ended December 31, our liquidity management assets interest is $9.8 million.  And we also had a little over $2 million of call option income that we sort of look at those 2 together. But because we run that program, a lot of our longer-term agencies have been called away and we’ve reinvest in a lower rates and so that’s one of the reasons you see that our short-term investment portfolio, our investment portfolio in total, is a little less than our peers is because we’ve had that pressure down on it, because with security has already been called away.  So most of our longer-term agencies are near today’s rates because they’ve recently been called away, but you have to remember the offset to that as we’ve been making $2 million of quarter, roughly on covered call income, which is supplemented the return on that portfolio. 
Operator: Our next question comes from the line of Brad Milsaps with Sandler O’Neill. 
Brad Milsaps: I just want to follow-up on the net interest income comments. I know you mentioned, you thought net interest income could flourish this year, despite margin compression. You’re up about -- I guess about 13% in 2012 and your loans are up about a $1.3 billion. I know there is some acquisitions in there. So gets a little muddled, but you thought you could grow about $900 million to $1.2 billion in 2013. How we’d be entering the year with a lower margin in 2013 versus 2012, your margin in 2012 was about 7 basis points. Do you feel like you need to grow even faster than that $1 billion or $1.2 billion to even maintain the NII or is it also going to be a function of getting some deals there as well, and that’s a bunch of questions in one, but just kind of trying to square some of this comments up? 
Edward Wehmer: Well, no, I think NII will go up. I mean we grow a $1 billion, our net interest income, it obviously going to go up, the margin maybe down a bit, but the quarrel of it is, we’ll continue to increase our interest rate sensitivity position to make sure that the rates go up, we get that beach fall underwater effect. The actual growth is going to depend on our ability to put it out into earning assets. If for some reason the market moved away from us, let’s say rates and terms really got goofy -- and we go back to 2005 and 2006 and 2007, our circuit breakers will kick in and our loan production will stop.  I mean you know us well enough to know that we are pretty disciplined on that and we’re not going to move. If that’s the case, our growth could slow down a bit as it did when we went in the local lot before in 2006, 2007 and 2008, but we don’t see that happening right now.  We actually believe that if we can grow organically at that $1.2 billion -- and let’s say if you put it out through this spread of 3% obviously your net interest income is going to go up, right? And if you can do less than 100 basis points in marginal expenses that go along with that and that will be pretty accretive to our metrics in terms of ROA and to our bottom line?  And then if you prepare the balance sheet at the same time for raising rates on that bigger base, you’ll be better off when rates go up and I think they got to go up at some point in time, as a student of history as I said, when they go up, they’re going to go up pretty big I think. So 4% of raising rates, you can calculate the numbers based on what we give you give you, what that would do to our margin.  So it’s a long-term play. That’s our play for this year. But we think that you can run the numbers and 3.25 spread on 1.2 billion growth, average it out, less than a 100 basis points in marginal expenses. That should be pretty good for us. 
Operator: Our next question comes from the line of Peyton Green with Sterne Agee. 
Peyton Green: I guess my comment is, maybe it’s not what you decide to do with the portfolio that really matters in terms of the duration. But why have $850 million or so of it in a negative spread? I mean I guess in looking at the Federal Home Loan Bank advances and the notes payable and other borrowings, you’ve effectively got $815 million at 217 average cost against liquidity management assets at an average benefit of 133, and the simplest thing would be to get rid of that. That relationship has been true for 3 or 4 years now, just why not operate with a smaller, more profitable balance sheet? 
Edward Wehmer: We did some of that in this quarter by getting rid of the repo transactions. Part of the way you manage the balance sheet though, you’ve got to prepare yourself for any eventuality, and we have positioned our balance sheet for a rise in interest rates, and… 
Peyton Green: But it’s been that way for 3 or 4 years now. I mean why not work it through -- I mean if the loans are a good portion variable, I mean why not extend it? Why not use more derivatives instead of upside down bond trades or borrowings against the liquidity management asset portfolio? I mean I guess I just don’t understand why have that much of your balance sheet or equity losing money on a quarter-to-quarter basis year in year out? 
Edward Wehmer: All right, let’s go back. Year-in year-out, Peyton, in the first 2 quarters of last year, we were struggling to find liquidity our loan demand was strong. If we had done that, the opposite, if we had embarked on shrinking that we would have been really upside down on liquidity and growth. So just because we have little excess liquidity this time, because we put a bank out, we got to save $170 million to divest of Second Federal.  Next quarter, if insurance rates harden, it turns the other way and then I got a liquidity issue. So you have to look at it -- and I understand what you’re saying, it looks like, "Boy, you can shrink the bank, you could blow those things out, take your loss on it, and then have no liquidity." Well, then I’m back in the same ball game, and I’ve got to go long anyhow to keep my interest rate sensitivity where it is. You bring up a good point. We discuss it a lot. But it fluctuates every quarter. I mean literally, we were scrambling at the end of the first 2 quarters of last year to get liquidity on our balance sheet.  You can look at broker funds have popped up and so I see what you are saying, and we have done some of that this year and last year we’ll continue to look at that, but we’re managing the overall balance sheet, the overall interest rate sensitivity position and we’ll keep looking at it. But I appreciate your thoughts. 
Peyton Green: In terms of…? 
Edward Wehmer: And I know you’re consistent, at least you're consistent, Peyton. 
Peyton Green: Well I know, but I guess my question is this. I mean if you have $3 billion in liquidity management assets really under-earning, I mean let’s just take it as 20% of earning assets. I mean what does that number really have to be to be liquidity management, I guess is my question? 
David Dykstra: It’s around 20%. Depending on what the rest of the balance sheet looks like, but the regulators -- the regulators and us. We still think liquidity is important, who knows what’s going to happen. We’ve always run at 85% to 90% loan to deposit when other guys are at 110%, 120%, we actually -- we have to keep that liquidity and the regulators are looking at liquidity with the hard look. And that’s about the number we have to keep, Peyton.  And it’s in fact our loan-to-deposit ratio were to fall to 70% and we were sitting on all of that, your argument has a lot more merit and it’s something we will consider, but now it’s managing the overall balance sheet, and I know it looks simple on the top, but we’ll continue looking at it and there is a cost of that to.  I mean you may have a $20 million to $30 million loss to get out of the federal home loan bank and then if you do change your interest rate risk sensitivity in that regard, and nobody’s crystal ball is perfect there. You sell those things and take a $20 million and $30 million pre-tax loss and interest rates could change the next day and people would say that was pretty very stupid that you sold those.  So we try to manage it in a holistic approach. We understand it, we look at it, we talk about it a lot. $400 million of federal home loan banks say, some of those will be maturing. We are letting other wholesale funds run-off. We did, as you saw, eliminate the long-term repos to this quarter. And so we do try to balance all this stuff out running the balance sheet from a holistic risk perspective, including forward-looking interest rate risk and liquidity risk. 
Edward Wehmer: It’s just a big bond swap when you look at it. We look that -- we look at those numbers every quarter and how they relate to GAAP and we run the bond swap numbers on exactly what you are talking about, how it relates to GAAP, how it relates to liquidity, and it’s something we do look at, Peyton, and we will continue to do so. 
Peyton Green: I guess the last only 2 other comments that I’d make is, I mean if earning assets are up roughly $1.2 billion year-over-year in the fourth quarter, liquidity management assets are actually down $100 million. So I mean you actually did leverage the liquidity a bit. I mean if you grow loans $1 billion, do you have to add to the liquidity management assets to keep your liquidity profile going forward? I guess that’s question one, and then how sticky do you think your non-interest bearing deposits are, because they grew about over 500 million over the prior year at about $2.3 billion, which is materially different than how you used to exist. 
Edward Wehmer: Oh, yes. Well, we think they’re very sticky, as a matter of fact, some of them is still filling out. Certainly, some of that stuff will go to work and that will lead to additional lending, so it’s kind of a win-win. When we put the cash to work, then the line usage is going to go up too. Then we would all be happy if that occurred. But the rate of growth that we have, it takes a good 4, 5 months to fill out the balances of our new clients as they come in.  So we believe it’s very sticky, they are tied into treasury management, and we expect that number to continue to grow. I think it would be nice that, it’s grown consistently every quarter since we started this commercial initiative and we anticipate good success this year in the commercial initiative and continued increases. We would love to get that number to 19%, 20%, and when rates go up, that’s terrific for us.  The first question, if we do grow or if we grow more than that and loans are higher. Yes, then we got to go back and look for liquidity. We have liquidity in our policies in the regulatory guidance, the regulators and everything is numeric these days. So they have their number as they relates to liquidity. We managed to our own thoughts of liquidity and to their numbers. So if your loan to deposit ratio were to go to 95%, you’re going to have to go out and get more deposits or find more liquidity.  We keep a lot of capacity for broker funds. We don’t have a lot for a banker size. We only use them really for asset liability management purposes, up until the first 2 quarters last year we had to using for liquidity purposes. But we keep a lot of sources available for liquidity. So we can manage it on a quarter-by-quarter basis. But certainly if loan-to-deposit ratio went up, you’re going to have to sign more liquidity to keep everybody happy. 
Peyton Green: I guess -- and so we keep the liquidity management assets at let’s just say around 20% or can you push it down to 17% or 16% of the earning asset base going forward? 
David Dykstra: I think that 20% number is probably within 2 percentage points, one way and other.  Depending on what’s going on, I think it’s probably I think 20% middle of the road.  We’ve always said you can look at the balance sheet. We’re pretty plain vanilla Bank, 85% to 90% loan to deposit. We might go a little bit about that. But that’s how we’ve run the company since the beginning. 
Peyton Green: Okay, so it’s still a pretty good assumption. Okay, great. 
Operator: Our next question comes from the line of Herman Chan with Wells Fargo Securities. 
Herman Chan: Wanted to ask a question on reserves, 91 bps of total loans to reserve ratio is pretty close to pre-crisis level, of let’s say 70, 80 basis points. Should we expect the reserve coverage to drift toward or even below pre-crisis levels, considering Wintrust now has a different loan composition with less commercial real estate, but more commercial and premium finance? 
Edward Wehmer: Well, the calculation is so mechanical these days. But if you go back to Page 28 of the press release, it’s all a function of almost what really very close to what they are proposing right now, the FASB is one of the methods the FASB had but now that they’re talking about more, which is not a loss given the thought, but historical losses. And if you look at our Page 28, where we break out the reserves by category, you can see that 131 basis points is basically the core portfolio and 29 basis points of niche portfolio. Take those numbers and go back a couple of pages and apply it to our historical loss ratios and you’ll see that they make a lot of sense.
 So to the extent that credit gets better and losses go down, it will take some time, but those historical losses will work their way through the system and we go back to our normal loss ratios on commercial, commercial real estate and the like, you will get back down to those numbers, it’s just the very mechanical calculation that we have to go through to get there, and it’s a bunch of historical charge-offs, apply that to the balances in that account, add your specific reserves and there you got it. So if losses get better, I would imagine that the reserve will go along with that. 
Herman Chan: Got it. And a question specifically on comp expense. After a pickup in comp in Q3, it was pretty flattish in Q4. Based on your comments on operating leverage, do we expect that $75 million, $76 million level as a base heading into the 2013, even assuming continued balance sheet growth? 
Edward Wehmer: Well, it’s a good question, but a lot of that comp is relates to the mortgage market being as hot as it is, basically, you’re paying out commissions of 40% to 50% on your volumes there. So that comp expense number, you have to take out the variable compensation as it relates to mortgages and the brokerage side of wealth management, because obviously that’s variable.  But once you do that from an operating run rate, in the first quarter you get raises that come through when we average 2% to 2.5%. But you’re going to have those conversions are going to take place in the first quarter and the divestiture Second Federal, in February, which will alleviate costs from us. So I guess it’s a good enough start base, but you have really got to go backwards and all depends on what the variable comp. 
David Dykstra: It really does. We’ve got Hyde Park which will go on for a full quarter, but we have Second Fed coming off and the like. But mortgages will probably be less to share and we say that every year and we’ll see where rates go, but at the mortgage did come off, the variable comp will come down a little bit.
 But it’s a pretty decent range to hang in. We’re really trying to hold the line on sellers and grow on to the leverage. So depending on what we do from an acquisition perspective would be the only reason you’d see significant change from that. 
Herman Chan: Got it. 
David Dykstra: Other than the mortgages. 
Herman Chan: Okay, got it. And I did notice a pullback in Canadian commercial premium finance loans in the quarter. Can you point to anything specifically in terms of performance there? 
Edward Wehmer: No, well I think they’re doing fine. Their bigger months are in the middle part of the year and some of those payoffs, that the levels have trended down a little bit, but it’s not for lack of anything structurally happening there, it’s just when their larger months are, and so it’s a little bit of seasonality from that perspective. 
Operator: Our next question comes from the line of John Moran with Macquarie Capital. 
Unknown Analyst: This is Mike Ka [ph] from John’s team, just got a quick question on mortgage banking. How quickly do you think you can ramp down sort of the mortgage banking variable cost in terms of -- as volumes sort of come down in the latter half of 2013? 
Edward Wehmer: Excellent question, the $64,000 I keep pounding our mortgage company with. The ability to accordion our expenses with volume has been, in our planning, has been at the top of the list, approximately 23% to 24% of our operating costs are outsourced right now. So we’ve got specific parameters where to keep our level of quality up, where how much we can throughput our own system. When we go over that, we go, we outsource it, so 23% of that business is outsourced. So that drops off right away once that volume drops off.  If you consider that around 40% of our volume is on average is purchases. So -- and purchases should stay relatively constant with some seasonality to it, as this market picks up. So 60% of that is refi, if half of that business goes away that’s 30%, I get 23% I can drop off at that point in time, of course, we have plans to bring it down. So we are on this, we drill it, we test it, and it is certainly a major factor. And we got caught in this 1.5 years ago and it took us 3 months to get our ducks in line, so we gave back about a month’s worth of earnings, because we weren’t able to accordion fast enough. So we have the SWAT team on this that we will make sure that we can keep expenses in line with volumes going forward. 
Unknown Analyst: Okay. And just one more question. Can you just give us a sense of how much your OREO expense is related to sort of revaluation of properties and how much is carrying cost? 
David Dykstra: The majority of it was revaluation, carrying cost was maybe $1.5 million to $2 million or so. 
Operator: Our final question is the follow-up from Peyton Green with Sterne, Agee. 
Peyton Green: On the expense side, I mean in thinking about the hypothetical that you gave, if you grew $1 billion you’d hope to keep the expenses to 1%. That would imply 2% growth in expenses year-over-year all else equal, which I know not all else is going to be equal.  But historically, that’s not been really something the Street has seen you all do. I mean maybe you can talk a little bit just about, I mean are you going to limit yourself from taking advantage of opportunities going forward, and harvest the investments you’ve made over the past couple of years as you reentered the more stable and slightly growing economy? Or I guess just give a little bit of color on that. 
Edward Wehmer: Sure, well we qualified that statement by saying with same-store sales. In other words, if we get an opportunity to acquire a branch or acquire a bank, that certainly will add to our expense numbers. So what we’re saying is the current operations that we have right now, less than 1%. And we certainly have an opportunity comes up, we’re not going to be shy about taking advantage of that if it’s going to be accretive to us.  But we have so much leverage built up, like in the SBA world and the commercial world, and a number of branches that we have that we can grow out of without doing that up, without adding expenses. We feel good about our ability to make that happen on a sort of same-store sales, same-store approach if you will. It certainly will not limit us from taking advantage of opportunities.
 We are serial builders, as you know, and we will continue to build the organization and not be afraid to put the plumbing in if we see an opportunity to go forward. But that’s the plan that relates to marginal business going forward, anything above that, if we were to buy something that would have hopefully be accretive right out of box to us, so an earning asset generator or another bank, that they would actually add to the bottom line. We don’t like doing unaccretive deals. We never have, we just don’t like that, so I had to qualify it that way. 
Peyton Green: No, I guess I was just I mean, because the 2 messages are slightly different. I mean, they’re both positive to operating leverage, but on the same-store sales it’s half the expense growth as the hypothetical, we grow $1 billion, I guess… 
Edward Wehmer: No. 
Peyton Green: I think I’m hearing you. I understand it better now. 
Edward Wehmer: Okay. Well, we need to end this conference call, because if I keep talking, the stock keeps going down. I think that we are not going to record earnings anymore if stock goes down, but I’m just kidding guys. Thank you very much for listening in and we’ll talk to you all later. Thank you. 
Operator: Ladies and gentlemen, this does conclude your conference. You all may disconnect and have a good day.